Unknown Executive: Hi. Good morning, everyone, and thank you for joining us for our 2025 Third Quarter Conference Call. With me on the call today are: VitalHub's CEO, Dan Matlow; and CFO, Brian Goffenberg. After our prepared remarks, we will open up the line to questions from analysts. [Operator Instructions] Now before we begin, I'll read our cautionary note regarding forward-looking information. Certain information to be discussed during this call contains forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, please review the forward-looking statements disclosure in the earnings press release and in our SEDAR filings. As well, our commentary today will include adjusted financial measures, which are non-IFRS measures. These should be considered as a supplement to and not a substitute for IFRS measures. Reconciliations between the 2 can be found in our SEDAR filings. With that, I'll hand the call over to our CFO, Brian Goffenberg, to go over financial highlights for the quarter. Over to you, Brian.
Brian Goffenberg: Good morning, everyone, and thank you for joining the call today. We are pleased to report results for the third quarter of 2025. I'll provide a summary of the financial highlights from the quarter and then hand it over to Dan for an update on the business. At the end of September, our annual recurring revenue was $93.7 million. Organic growth was 15% over the previous year, and total growth was 75%, including the acquisitions and foreign exchange. Total revenue in the quarter was $32 million, an increase of 94% year-over-year. Recurring revenue or term license maintenance support segment was $23.6 million or 74% of total revenue. Virtual Care Term License revenue was $2.5 million. This was the first full quarter contribution from the Virtual Care segment. Perpetual License revenue was $500,000 in the quarter, an increase from $300,000 in the prior year period. Services, hardware and other revenue was $5.5 million in the quarter compared to $2.3 million in the prior year period. Our services and other nonrecurring revenues were higher than expected due to timing of project delivery and revenue recognition. We expect our recurring revenue mix to steadily increase to historical levels. Our gross margin was 81% of revenue, consistent with the prior year period. Adjusted EBITDA for the quarter was $7.2 million or 22% of revenue compared to $4.6 million or 28% in the prior year period. We closed the quarter with $123.8 million of cash and no debt. We closed a small asset purchase in the U.K., subsequent to the quarter end for $140,000 -- GBP 140,000; and are otherwise generating cash and building on this balance. With that, I'd like to hand the call over to Dan for an update on the business.
Daniel Matlow: Thanks, Brian. I'll make my remarks brief. I know we got a lot of analysts that are potentially out there and ready to ask some questions. So I think with what I have to say and the questions, you guys should be able to get a complete picture of the quarter. But yes, we're excited about the results just based on the fact that we came across the 2 large acquisitions that now represent 30% of our revenue. And both of those companies came into not meeting our profile in terms of what we want in terms of the Rule of 40, but we're working on it. But we're close to $94 million of ARR. And I always thought, "Hey, can we get this thing to $100 million", and we're really just knocking on the door of that $100 million ARR company. Services helped us a fair bit in the quarter due to a couple of factors. Both Zesty and Novari do come with a significant amount of services attached in their implementations. And so they did make a contribution to that and TREAT has always continuously added into from a services perspective. And then we had some milestones that were met on services that allowed us to recognize some services. So with the new company, services is a different element of our game, and we're excited to have that as part of our revenue mix going forward. In terms of ARR, again, contributions from all products that were coming into the equation. None that really stood out relative to the other one. We are seeing a little bit of headwinds for the SHREWD-based products in the NHS, not due to anything except that they're changing all their structures in terms of ICSs and ICBs. And while that's going on, I don't think they'll be making many purchases, although we are still selling that product in other areas of it, but that was always a big part. That will settle down at some point in 2026, and we do expect that to start opening up again and start seeing that to contribute. In terms of the integration, it's going great. We're starting to see that all coming together. We really got some great people with those acquisitions. We had a planning session last week where 50 people of the management team got together for planning, and it was just really nice to see how all these different groups are coming together, and we're excited about the synergistic aspects of how we're going to be able to integrate products and integrate sales campaigns and how these products fit into really a cohesive fashion. So we're excited to do that. We immediately after the acquisition started working on cost reduction programs, and that's in progress. There's a little bit of that in the quarter for sure. Really that would have just came in for the last month of that quarter. But we're continuing through that process, and that's going to take into 2026 until we start working that through the complete system, but we expect to steadily through the next few quarters starting to see the results of both new revenue coming in and cost reductions to get us into our profile that we're proud of and we always want to get to. We do have acquisitions in play. We continue to look at acquisitions. There's -- we've recently noticed over the last month or so, a lot more heated stuff on the smaller base stuff. And we continuously look at and explore the larger acquisitions that are out there and continue to work through. So it's still a big part of our program, and we continue to work through that every day, and we're getting to the point that we think we can be able to digest some small ones and continue to work through that. We are working through our 2026 budgets right now. We're excited about what we can do. And that's where we're at. It was really one of those bridge quarters after those 2 acquisitions, and we're excited about how we're bridging it. And I think it was better than expected for a lot of people. So we're excited about that. And I'll turn it over to any questions anyone has.
Unknown Executive: [Operator Instructions] Today's first question comes from Gavin Fairweather of Cormark Securities.
Gavin Fairweather: Congrats on the great quarter. Maybe just, Dan, to start, I mean, the business has now achieved a fairly significant scale, approaching $100 million of ARR. That obviously has some cash flow benefits. But curious if that's opening up other opportunities to you to be more strategic to your customers or organize or run things more differently or invest. Any thoughts on what this newfound scale opens up for the business?
Daniel Matlow: Yes, I think it was exciting at that planning session where we're starting to get to the mode where we're seeing tenders and we're seeing situations where we can put multiple products into the equation to go get a more comprehensive solution. And we're also starting to being able to connect things together for more strategic-based offerings, especially in the patient flow and the patient journey, patient engagement based side. So we have customers that have agreed to and use multiple products and have agreed to integrate those products. And that's exciting from my perspective. That was always what the vision is and so forth. And that's also coming together with the Canadian products and the U.K. products. So the Novari opportunity, I think, opens up a lot of opportunities for the U.K. products in Canada, a lot more effective. And our U.K. team is definitely in a position to get Novari into the U.K. market a lot more effectively. They did close their first U.K. deal, and it got a lot of press in the U.K., and it's really a pretty strategic deal over there from us in the mental health-based world, which they do a lot of in Canada, but we don't see very much in the U.K. But we do think Novari is going to be able to get a significant amount of traction in the U.K., at least we're hoping that way.
Gavin Fairweather: Helpful. And then just secondly for me, I noticed in the notes to the financials that you bought Definition Health had a bankruptcy for a pretty nominal sum. It looks like it digitized the surgical pathway. Maybe you can just discuss kind of the client base there, if you can integrate that with MyPathway and if you think you can grow it?
Daniel Matlow: We really bought that for a technology purpose-based setting, and it's not the whole product. They -- it's a preoperative-based assessment, and they've done a really good job in terms of content for patients before they come into a health care setting, although the solution itself was just used by a handful of what I would call semi-implemented solutions that are out there, right? And maybe it was just a group of people making some technology. It really didn't make a lot of progress. But that was a component that we wanted in our Synopsis product, and it was really a technology decision to get added t to it.
Gavin Fairweather: Helpful. And then lastly for me, just on the Attend Anywhere, we talked last quarter about how you thought that was a more mature asset. The revenue did surprise me to the upside this quarter. So wondering, as you've gotten to know that asset better, if you've kind of refined your view on the outlook for that?
Daniel Matlow: Yes. We -- that solution, we immediately -- that solution is built through a development team in Australia, and we didn't get much exposure to them during the due diligence process and so forth. So we immediately went down to go meet that group, and we're extremely impressed by the industrial nature of that product and how it was really designed for a clinical-based setting. And then we looked at the usage of the product in its space, and it's pretty -- used pretty extensively. With that being said, there's -- and we knew that when we got it, that there's headwinds for it on the -- in respect to things like Teams and Zoom and things like that, although the customers that do use it seem to use it. And in fact, the usage increased during the quarter, which led to some of those financials being the way they are for it. But we're not sure that's sustainable or not sustainable. We're just going to follow it along. We do have ideas where that product can get added into some of our other products, example, maybe it can get added into the TREAT or EHR products that do have a requirement for telehealth and other areas, and we discussed that in our planning session. We're going to explore that over the last little while. And -- but it's still early to tell on that, Gavin, of where that's going to go for it. We've always been transparent that, that that was a little bit of risk profile for that acquisition. We didn't pay a big valuation for that company because of the potential risk for that, but it was more we wanted the Zesty product, but we were pleasantly surprised by, a, how it performed in the quarter; and b, on the usage of it. So we'll just keep monitoring on a go-forward basis and see what happens.
Unknown Executive: The next question comes from Doug Taylor of Canaccord Genuity.
Doug Taylor: Let me just pick up that last train of thought there as it relates to Attend Anywhere. It seems like from your language, it might be a more meaningful part of the future than you might have expected at the time of acquisition. You don't really call it recurring revenue. It's in a different bucket. Can you, one, confirm that and maybe talk about how we should think about that and the repeatability of that business on a quarterly basis going forward? Help us with the modeling around that.
Daniel Matlow: I'll try, Doug. Yes, we don't put it in ARR because it's usage-based, and we're not 100% sure it's a very different model than our software base. It's a services solution as much as it is there. So we thought it is more appropriate to identify it by itself, and it should make life clearer for you guys and us on how it is performing. As I said to Gavin, like let's see how this thing performs in the next couple of quarters in terms of usage and so forth. It's hard to tell. In our history of it, it's been all over -- I wouldn't say all over the map, but it's been lower than the range that we had last quarter for sure, and it's been a little higher than that range on a quarter-by-quarter basis just based on what it's doing. But overall -- the overall approach has gone down over the last few years, mainly because of price reduction, not as much as from loss of customers because it just -- it was very highly priced when it was a national deal that was sold to the NHS, I guess, 5 years ago, whatever it was. So it went through a ton of price reduction to get it into a space that made sense relative to being able to compete against the other 3 products. And now I think it's holding on its own, and we've got new ideas of where we think we can use that technology in our world, which will take a while to bring to fruition. But yes, I think -- yes, it's hard to say. We can meet with you afterwards and try to go through it. But as I said, it's been lower, it's been a little bit higher and both are feasible in there. So it could come -- it's not going to be radically different than what it is, I think, on a quarter-by-quarter basis, but it could fluctuate.
Doug Taylor: Okay. You mean, you said in the statement results better than I think most expected, both top and bottom line. You said you barely started with the cost savings related to some of your recent acquisitions, just a month or so into any savings and lots more to go. So I just want to make sure there aren't any other short-term or onetime benefits that flowed through this quarter, you'd call out anywhere as it relates to the margin profile, any outliers? Or is that a fair place to now start from 22.5% EBITDA margins and then [ it could go ] from there?
Daniel Matlow: Yes. I think it's a fair place to start in a sense of where we're going. We're going to make more deals, which are going to come to the bottom line, and we're going to keep -- we'll keep looking for cost synergies as we continue to move along this is, right? I'm not sure it goes up in a straight line or meanders a little bit throughout the process of the next 2 to 3 quarters. But we do have a plan in place. We know exactly what we're doing and where these changes are going to be done, and we're in the middle of executing it. It's just how long will it take and the time lines that will get associated with it. But we do have a plan to get us to where we think we will be, and we do expect by the middle -- end of next year that we're going to be meeting that profile of where we want to be pretty nicely. So we've got a plan to go do it.
Doug Taylor: Okay. Last question for me. You flagged some of the success with initial referral -- or Novari business being one in the U.K. There's some chatter that there's been some movement on some of the programs here in Canada. Can you speak to any successes you've had with the Novari product here recently in Canada as well to go alongside the U.K. success?
Daniel Matlow: Yes, there's a significant amount of chatter going on for Novari. Our referral management is a hot topic in many geographies right now. I think that's where Health systems are really trying to integrate all the areas of care and moving that patient around and referral management is a big part of that. And Novari does a very good job in terms of that in their particular niches. And they've been doing it for a lot of years throughout Canada. And as we've seen in other areas, you sort of get things started and then government says, hey, let's just go for it and get a big chunk of this done. And we're seeing those opportunities coming to fruition. Nothing to report at this stage for sure, but there is -- there are things in play. And you're dealing with government, you never know how long these things take or what happens and do they ever follow through with these things, but we're cautiously optimistic of some things going through next year for sure.
Unknown Executive: The next question comes from David Kwan of TD Securities.
David Kwan: Curious about the recent acquisitions. It sounds like particularly Novari was quite R&D-heavy, especially relative to sales and marketing spend. So it seems like there could be some good opportunities there to shift a good amount of work over to Sri Lanka and this helped boost the margin. So wondering if you could help elaborate on your plans on that front and how we should think about margin uplift in Novari.
Daniel Matlow: Yes. Our playbook doesn't -- has not changed, right? We are -- our Sri Lankan group is well over 200 people now in that group, and it keeps maturing year-over-year in terms of its ability to execute on many different things. We have a huge team of Sri Lankans already in Kingston to work with Novari, and we've proceeded to work on that stuff. So we continue to work that playbook, and that shouldn't be of any surprise to anyone that's what we do.
David Kwan: That's helpful. And on the integration front as well, we're, I guess, past the 1-year anniversaries for MedCurrent and Strata. So curious if you can get an update there. Are the margins kind of up to where you guys were targeting and close to maybe where they were pre-acquisition?
Daniel Matlow: Yes, MedCurrent has proceeded just like we thought it would do. It continues to work. And we've -- it's got into our profile, and we're happy with it, and they just keep continuing to click. Strata is not as quick as we would like it to be, although with Novari, there's definitely some synergistic value, and we hope to see some better things. But they -- we've made some changes in Strata in terms of salespeople and other aspects. We think that product is 100% very sellable. The customers that use it love it in the extremes, I think it's just a process of not being exposed to as many customers as we would like it to get exposed to. And we are seeing more activity for it just based on now that it's in our U.K. sales force and it's -- and the Novari sales force will be involved with that as well in terms of lead generation in terms of coming through to it. And we've added a more senior sales rep recently from our group onto that product. So it hasn't contributed to as much as we would like it to, but there's a really good installed base that makes money for us, and we're fine with it. We still think there's more to get out of it, and we think we will.
David Kwan: One last one, just on the M&A pipeline. You kind of talked about potential for more, I guess, tuck-in deals. Curious from an operational standpoint, how you feel with the integration work that you're doing with Novari induction. Like do you still think that maybe a larger chunk of deal, especially something the size of like a Novari is probably more of a 2026 time line?
Daniel Matlow: Listen, if the right deal comes across next week and it's like Novari, we would do the deal. They're not -- those things -- we're not going to walk away from a deal because we don't think we can absorb it. We're still working those deals and would be doing -- I think we could absorb it and do our things, although it might take a little bit more time to go do it, but we would do it and we would work on it. So you need to be opportunistic. If the right scenarios come across and they meet our profile, we're going to execute on those deals. So who knows if it will be '26, '27, '28 or it could be 2 months from now, if the right scenario is there, we're going to do it.
David Kwan: So it sounds like you feel like you've gone up operational bandwidth. It might be pretty tight right now, but not too tight to the point where you passed it.
Daniel Matlow: Yes. I think we're getting pretty good at this. And if we had to, we could do it for sure.
Unknown Executive: Next question comes from Richard Tse of National Bank.
Richard Tse: So I actually had a related question to that last question. Obviously, you've had a tremendous record of success here. So as you get better with each of these deals, as you learn more, is it reasonable to think that the pace of capital deployment as we look ahead over the next year or 2 should accelerate?
Daniel Matlow: Yes. I don't know if that's ever -- Richard, I think it's more a question on can we get the deals done with the right profile that we need to do the deals on versus the digestion of the deals relative to it. There's a fair amount of activity out there. I think we still have been there. Are we going to -- we've done 4 deals a year in a lot of the years, right, for the last 3 years, right? So is that going up to 8 deals? Probably not relative to where we are at this stage yet. I still think it's more of the exact same thing. And it's just a question on the size of the deals and it can -- are the deals there? It's never been really a question on our capacity. It's just really been a question on the right profile of the deals to get done. We definitely walk away from a lot more deals than we do. So it's just a question on the right ones.
Richard Tse: Okay. Fair enough. Just my other question has to do with sort of reading through the MD&A, and you talked about sort of cross-sell, upsell. Are there any sort of metrics that you can share with us to kind of allow us to evaluate how that success is among your existing base in terms of the ability to do that?
Daniel Matlow: We haven't published any metrics relative to do that, except the narrative that we have a lot of customers that use a lot of our different products, but our customers are just all over the place, right, different naming conventions, different worlds like the NHS, you could call it a customer and it uses all of our products. But within the NHS, you have different areas and different groups that change over time that use multiple areas of products. So it is a challenge to get there. We're working on updating our sales force and our whole customer area in terms of exploration. We do have significant data on that, but it needs to be more comprehensive. So nothing that we published as of yet, but we're looking to be able to do that a lot more effectively in the future.
Unknown Executive: The next question comes from John Shuter of RBC Securities.
John Shuter: I appreciate the color on Strata in terms of the integration and the margin profile there. I'm curious from a top line perspective over the last year, how that's performed relative to your initial expectations and what you guys expected of that business going forward?
Daniel Matlow: Strata?
John Shuter: Yes, on Strata.
Daniel Matlow: Yes. There's a lot of noise going on in the Referral Management business in terms of -- Strata already has a -- it has a very large footprint in Alberta, British Columbia in the Maritimes relative to it. None of us do a ton of work in the Quebec marketplace, although they do have a little bit of implementation there, and they also do have a footprint in Manitoba that we're trying to grow, [ not in ] Saskatchewan. It's really been the wildcard in Ontario, which they do have a fairly good footprint. However, there's been more focus on referrals into the hospital setting as opposed to outside of the hospital setting relative to the spending by those governments. But we do think that's going to change, and Novari is the leadership of it. Where they have seen their growth has been in the U.K. marketplace because we do see some more activity on there. I do think that product is sellable and should be sold more than it is. Has it met our expectations? Probably a little less than what we thought it would at this stage, but we're not done there yet, right? I just think it's -- I think it's not the product. The value proposition is there. We still think there's a big need for it. I think, it's just been more execution, and we're -- we think we're going to get business out of that product. But to date, it has been less than expected.
John Shuter: Got it. I appreciate that. And just one more for me on -- you commented on the changes in the structures in the NHS and some headwinds for SHREWD there. So I'm curious like get to 2026, what kind of visibility you have to potential new programs and how you see yourself being positioned in that market under the new structure?
Daniel Matlow: Yes. What they've done is they've got these regional bodies they've -- that they've -- instead of one region being a certain population size, they said, hey, let's combine these 2 together for a bigger population size. And while they're going through those changes, yes, they're not looking at buying new software to go through it. But our software is in a lot of those. And yes, it's going along. It goes together with the integrations, right? So there could be opportunity where one group gets integrated to another group that doesn't have our product where we could get added into that whole scenario, and we've seen those. And we do expect that. But as far as new sales, that's going to be challenging as they go through that through the first part of 2026. So that's been a bit of a challenge for us with that product. But we do expect that to settle down and the regions that do use our product love it. We were on our way for a national view of SHREWD in the U.K. and that -- and we do have a footprint of that on a product called Opal, which we built for them. So we're seeing some stuff there. But we're also starting to see activity in the other surrounding areas of Wales and Scotland and Ireland as well for SHREWD. So there -- it continues to do its thing and -- but it went through, I don't know, a couple of years of really leading the charge of our organic growth. And although it still is going to contribute, it's not going to be the leading charge probably in 2026. So we would expect that -- we think that slack will get picked up by other products. And we still will still get deals from SHREWD, but we do think through the first half of 2026, it's going to be going through that reorg structure.
Unknown Executive: The next question comes from Michael Freeman of Raymond James.
Michael Freeman: Actually, just following on that last question on the NHS. When we're talking about merging these regional bodies, does the -- I guess, the overall reduction of regional bodies, I guess, reduce the possible TAM for SHREWD? I guess I'm asking a question about the revenue model.
Daniel Matlow: Yes, not really. SHREWD in that particular setting is sold on population size and the population size remains the same, it's just one buying entity for a larger population group.
Michael Freeman: Okay. All right. Got you. And I wonder, there was a -- the NHS published a 10-year plan recently describing how it would deploy its budget. Digital health was mentioned throughout. I wonder if you could -- how you think about the opportunity with the NHS sort of after things settle down following this reorg. Do you see opportunity for VitalHub's products expanding in this new environment?
Daniel Matlow: Digital health is definitely needed within the NHS. There's a lot of room for improvement, and there's still opportunities for new solutions to come into that market, and we expect to be a player in that world. And we've got a team out there that -- so, all they do is try to get those solutions into that world. It's a little bit of a complicated world in terms of how it changes and how it's structured and where money is coming from and so forth, but we've got a lot of experienced people there that know how to do that, and we expect to be a part of it for sure.
Michael Freeman: All right. Now last one for me. At the top of the call, you mentioned that the last couple of acquisitions, you had to step outside your typical acquisition parameters. I wonder what motivated you to make these steps outside of your -- outside of these parameters? Would you -- are you more sensitive to staying within those parameters for next deals? Or are these barriers you're happy to cross for the right deal?
Daniel Matlow: Every deal is different. I think the only one we crossed through our barrier would have been the Novari deal to a degree, definitely not an induction. And I think we paid less than 1x revenue for that base solution for it, but Novari a little bit higher. I think our basis on Novari was really just understanding where it sit in the marketplace and what that solution can do and our level of confidence of its ability to add significant ARR in the next couple of years just based on where it's based. And looking at the profile of that company and understanding what we could do to enhance its processes for development and work on cost effectiveness in a pretty meaningful way to get it into the profile that we would like. And we're -- both of those are in play, and we're really excited about that acquisition and think it's great. And the people are great, and they're solving great problems, and we're really happy to have those guys on board.
Michael Freeman: Do you think Novari will be the product that leaves the organic growth charts if SHREWD is no longer holding that seat?
Daniel Matlow: Yes. I think potentially, yes. I think it could. Time will tell. There's other products in our arsenal that continue to add there. We'll see where it goes. We're excited about a lot of our products, but definitely, Novari has got some footprints into next year, which we're excited about.
Unknown Executive: The next question comes from Kevin Krishnaratne of Scotia Capital.
Kevin Krishnaratne: Sorry, I did join the call late, so maybe this has been discussed. The -- good to see the consistent organic ARR being added. Was it -- did you talk about the areas of strength in the quarter? And then as we think about Q4, this is maybe leading on the last question. Last Q4, you had some pretty sizable strength there. As you think about Q4, how do you see ARR building? SHREWD may be less of a driver. Novari, you talked about more 2026, but do you start to see some pretty good benefit in Q4? I'm just wondering about year-over-year, you had some pretty good strength last Q4. Curious about how to think about the near term.
Daniel Matlow: Yes. I think consistently, Kevin, we've had contribution from many products. We've seen a recent uplift in our Intouch With Health-based space, and you've seen some Perpetual Licenses and that comes with the recurring base as well, right? So that's added some revenue. There's still definitely some revenue that comes from SHREWD and other areas. But yes, and Zesty and Novari do add a significant amount of potential revenue that's coming from that perspective. And I do think it will -- both of those products will pick up the slack, I think, for SHREWD in the short term, and then we're hoping SHREWD comes back again towards the middle of next year when things get settled down in the NHS. So that's really how we're thinking of things on a go-forward basis. Yes, Q4 pipeline looks like other pipelines, and it's still early to tell where things get through. It's really hard to tell like we still got a lot of different ways to add ARR to us, and it's not one consistent way. So it does get hard to predict. And typically, I don't know, if you look over the last 3 years in terms of percentage of where products would come, I don't think there's one product or one quarter, like sometimes it's more about -- more or less from one product that contributes any type of quarter. But we feel confident in our mix of products. I don't know where it's going to come from, but I do think having Zesty and Novari in our mix is nice to have.
Kevin Krishnaratne: Appreciate the color. Maybe just one last one for me. It's a question that is being generally brought up clients I talk to about the software vendors generally, and that's the impact of AI. I think just given the nature of your customer base, maybe it's too early. But maybe any -- if you could share any sort of thoughts there. I know your team is pretty tight with NHS, when they're going in there and having discussions -- are there any signs of experimentation on AI?
Daniel Matlow: Yes, for sure. I think the biggest use case we're seeing for AI in our health care base is just the concept of scribing for doctors as they take -- or clinicians as they take notes in their systems, right? It's really more of that. And that's really in our community health-based world, the trade and the Coyote products and the CDS products in Australia. And we're well on our way with -- of getting scribing into those products, which we think will be add-on solutions for those solutions. But we -- there's other elements that we're working on such as predictive data in SHREWD, so we can predict or we can look at the dashboards and read those dashboards and just in words, give a profile of what those dashboards mean to the person that's looking at those dashboards effectively. Novari has got work going on in terms of the referral process where we do a summary of a form on a referral that can be created. So we have, I think, about half a dozen or so AI things that are being built in our product sets right now. We're really viewing those as add-ons to our solutions. the same way Copilot is getting added into all the different office-based solutions. We're looking at where add-ons can be used on our solutions using AI and how we can monetize those from a group. If we could add -- we got $93 million worth of ARR, if we can come up with AI solutions that get a 10% uplift, that's $10 million, right, worth of stuff. So it's really the -- we've challenged our product managers to come up with ideas. We put together an AI development team. And yes, we're looking on how to monetize that. Do we see that happening in the next couple of quarters? No. Could it happen towards the end of '26? Yes, maybe and definitely into '27, I think we'll be having AI products in the marketplace, which will be add-ons to our solutions, which will help our ARR growth. That's how we're thinking of it.
Unknown Executive: There's no further questions at this time. So Dan, I'll hand the call back to yourself if there's any closing remarks you want to make.
Daniel Matlow: Yes. I think in typical VitalHub mode is just steady as she goes. And we're excited by what Q3 was. It was a bridge quarter for us based on the acquisitions and I think we did a good job, and the team is doing a really good job of executing the plan on those acquisitions that we made up as part of the thesis for why we bought those acquisitions. And the plan is still being executed. It's going to take a while to execute it, but we're being executing it, and we really have a goal of getting back to our 26%, 27%, 28% adjusted EBITDA profile as quickly as we can, and that's what we're working on. So if anybody got more questions, Christian is available, I'm available on a go-forward basis. And I'd just like to thank everyone for joining us. I know it's earnings seasons you guys are running from call to call. And if anyone's got any more questions, feel free to put them forward. Thanks, everyone.
Unknown Executive: Thank you, Dan. This concludes today's call. Thanks, everyone, for joining.